Operator: Good morning, ladies and gentlemen. Welcome to Yellow Pages Third Quarter 2025 Earnings Release Call. Today's conference call contains forward-looking information about Yellow Pages outlook, objectives and strategy. These statements are based on assumptions and are subject to important risks and uncertainties. Yellow Pages' actual results could differ materially from expectations discussed. The details of Yellow Pages caution regarding forward-looking information, including key assumptions and risks, can be found in Yellow Pages' management discussion and analysis for the third quarter of 2025. This call is being recorded and webcast, and all of the disclosure documents are available on the company's website and on SEDAR. I would now like to turn the meeting over to Mrs. Sherilyn King, President and Chief Executive Officer. Please go ahead, madam.
Sherilyn King: Thank you, Josh. Good morning, everyone. Welcome to our third quarter 2025 analyst call. We really appreciate your interest in joining our call today. Today, I am also joined by Assunta Tortis, our Chief Financial Officer. I will begin with some overview comments, and then Assunta will provide more details on our financial results for the quarter. We will be happy to answer any questions you have at the end of this call. Today, we are quite pleased with our results reported for quarter 3 and 2025. We continue to see encouraging progress on key revenue drivers, including the stabilized rate of our customer count decline, supported by new customer acquisitions, solid renewal rates and strong average spend per customer. These fundamentals position us well for the future. We reported a total revenue decline of 8.1% for the quarter. Our print revenues were impacted by the Canada Post labor disruption. But by swiftly mobilizing alternative suppliers to distribute our print directories during their strike, the impact was limited to approximately $0.5 million of print revenues, which will now be recognized in our Q4 results. Had the deferred print revenue been recognized during this period, the total revenue decline would have been 7.3%, which is a modest improvement compared to the decline rate of 7.4% reported last quarter. Our new executive leadership team was appointed during the quarter to strengthen our strategic execution. We also reported solid quarterly earnings. Our adjusted EBITDA for the quarter was 20.6% of our revenue. We have a healthy cash balance of approximately $59 million at the end of October. During the third quarter, we completed the $2 million voluntary cash contribution to the defined benefit pension plan as was approved by the Board on August 5, 2025. Also, our Board has declared a dividend of $0.25 per common share to be paid on December 15, 2025, to shareholders of record as of November 26, 2025. I will pass it on to Assunta who will provide additional details on our numbers. Thank you.
Assunta Tortis: Thank you, SK. Good morning, everyone. Let me take you through our financial results for the third quarter ended September 30, 2025. Our total revenues decreased by $4.3 million or 8.1% year-over-year and amounted to $48.3 million for the third quarter. The year-over-year decrease in revenues is mainly due to the decline of our higher-margin digital media and print products and to a lesser extent, our lower-margin digital services products, thereby creating pressure on our gross profit margin. Furthermore, print revenues were negatively impacted by the Canada Post labor disruption causing a delay in the distribution of certain print directories and direct mail items during the month of September. This resulted in approximately $0.5 million in print revenue being deferred that will be recognized in the fourth quarter. Had the deferred print revenue been recognized in the quarter, the decline rate for total revenues would have been 7.3% for the third quarter ended September 2025 compared to 9.4% reported for the same period last year. Digital revenues decreased 6.2% year-over-year and amounted to $40 million for the 3-month period ended September 30, 2025, an improvement from the decrease of 8.7% reported for the same period last year. The year-over-year decline is mainly attributable to a decrease in digital customer count, partially offset by an increase in average spend per customer. Print revenues decreased 16.3% year-over-year and amounted to $8.3 million for the 3-month period ended September 2025. The decline in print revenue is mainly due to the decrease in the number of print customers, while the spend per customer has improved year-over-year driven by price increases. Excluding the impact of the Canada Post labor disruption mentioned earlier, the year-over-year decline in print revenue would have been 11.8% for the 3-month period ended September 2025 compared to a decline rate of 12.4% for the same period last year. Adjusted EBITDA for the third quarter was impacted by pressures from lower revenue, change in product mix and continued investment in our telesales force, partially offset by the impact of the company's share price on cash settled stock-based compensation expense, optimizations in cost of sales and reductions in other operating expenses, including reductions in our workforce and associated employee expenses. As a result, adjusted EBITDA decreased year-over-year by $2.5 million or 20.3% to $10 million for the quarter. Adjusted EBITDA margin decreased to 20.6% compared to 23.8% for the same period last year. Revenue pressures and changes in product mix, partially offset by continued optimization and cost reductions will continue to cause pressure on margins in upcoming quarters. Adjusted EBITDA less CapEx for the third quarter decreased to $2.6 million year-over-year to $9.6 million, driven by the decrease in adjusted EBITDA, partially offset by the decrease in CapEx spend year-over-year. During the third quarter, we completed $2 million voluntary contribution to the defined benefit pension plan approved by the Board on August 5, 2025. This aligns with the announcement made on May 21, 2025, following the annuity purchase in which the company indicated its intention to voluntarily contribute an additional $4 million to the remaining defined benefit pension plan by the end of June 2026, subject to Board approval. Net income decreased to $4 million for the third quarter of 2025 compared to $6.3 million for the same period last year. The decrease in net income for the period is mainly due to lower adjusted EBITDA, the increase in restructuring and other charges, the increase in financial charges, partially offset by the decrease in depreciation and amortization and income taxes. Our cash balance at the end of October stood at approximately $59 million. Lastly, as Sherilyn mentioned, the Board has declared once again a cash dividend of $0.25 per common share payable on December 15, 2025, to shareholders of record as of November 26, 2025. This concludes our formal remarks. Thank you for taking the time to join us this morning. We will now take your questions.
Operator: [Operator Instructions] I would now like to turn the call back over to Sherilyn King for any closing remarks.
Sherilyn King: Thank you, again, Josh. And thank you, everyone, for joining our call today. We look forward to sharing our results for quarter 4 in February of 2026 with you. Thank you.
Operator: Thank you. This concludes the conference. Thank you for your participation. You may now disconnect.